Operator: Ladies and gentlemen, thank you for standing by and welcome to the FIS Fourth Quarter Year-end 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions]. As a reminder, today's call is being recorded. I would now like to turn the conference over to your host, Pete Gunnlaugsson. Please go ahead.
Pete Gunnlaugsson: Thank you, Brian. Good morning, everyone, and welcome to our fourth quarter and full year 2015 earnings call. Turning to slide 2, Gary Norcross, our President and Chief Executive Officer, will begin with a business summary. Woody Woodall, Chief Financial Officer, will continue with the financial results for the quarter and full year. Today's news release and the supplemental slide presentation are available on our website at fisglobal.com. Turning to slide 3, today’s remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language. Today's remarks will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. These non-GAAP measures are outlined on slide 3 as well. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release and in the Appendix of the supplemental slide presentation. Turning to slide 4, I will turn the call over to Gary to discuss the business highlights. Gary?
Gary Norcross: Thank you Pete. Good morning everyone and thank you joining us on today’s call. I am pleased to report that we exited 2015 with solid momentum as the team’s focused on execution and driving further improvements in our cost structure and overall performance, delivering continued earnings growth. We were in the right markets empowering our clients of all sizes, whether here in the US with community and regional banks or globally. Our long term strategy has consistently driven year-over-year performance results, and we remain committed to our strategy. Turning to slide 5, we continue to build global scale in 2015, finalizing our acquisition of SunGard and finishing the year with revenue increasing 7% on a constant currency basis to 6.6 billion, growing adjusted EBITDA 8% on a constant currency basis to 2 billion, and producing adjusted earnings per share of 6% on a constant currency basis to $3.22. We generated 921 million of free cash flow in return to 605 million to shareholders. Strategically, we are investing in the business to deliver long term growth and superior shareholder returns. We are entering 2016 focused on three growth drivers; first, the acquisition of SunGard broadens our solution portfolio allowing us to expand and renew in adjacent markets and provide deeper value to our clients. Second, we will continue to capitalize on our expanded scale, operating leverage and our disciplined integration to drive earnings growth. Third, our strong cash flow generation allows us to invest for growth and return capital to shareholders. Turning to slide 6, our SunGard acquisition which closed on November 30 is a meaningful value creator for FIS. As we have discussed in the past, the industry is continuing to move towards fewer providers due to the complexity of solutions and regulatory oversight. As a result, our strategy has been to continue to expand our broad array of IT led products build for the financial services industry, augmented with the right transformation services components needed to bridge the gap between these complex systems in the new digital age. The SunGard acquisition is another key component in implementing this overall strategy. In addition to opening complimentary new markets, this combination positively impacts the revenue mix, creating a more profitable, product centric revenue base and the ability to accelerate margin expansion by implementing our leading go-to-market delivery approach as well as significant cost savings around administration and technology expenses. This acquisition expands us beyond our traditional retail banking and payments footprint in to the institutional and wholesale side of financial institutions as well as other buy side organizations. On a combined basis, our share wallet with our common global clients increased dramatically due to this combination, allowing us to become a more strategic solution provider. This comment has been substantiated multiple times over the last 60 days as we’ve engaged with many of our global clients regarding the combination. The benefits of the transaction do not stop with our global banks; it also significantly expands our existing solutions and client base in wealth management, treasury and corporate payments. These are in high demand among our regional and community institutions and has been a significant focus area for FSI as our clients look for ways to replace their fee revenue due to continuing regulatory change and increased oversight. As we look at the December results for SunGard, we are pleased with the momentum the sale organization maintained throughout the month, and are also pleased with the health of the overall pipeline that we acquired. While still early, we are also excited about how the sales teams are collaborating and building further opportunities within our robust client set which further substantiates the strategy and why we put these two companies together. Finally, this transaction brings a very strong talent and increased leadership to FIS, with market-specific expertise. This further positions FIS as the clear leader in financial technology globally, strengthening our ability to deliver for our clients and help them grow their business. Turning to slide 7, based on the significant strategic rationale discussed, the cultural environment has been equally strong given both companies been a center on developed products for financial services. This cultural alignment has allowed us to accelerate our integration efforts and we are very pleased with our initial progress integrating these two great companies. For example, we’ve already rolled out a streamline organizational structure, transitioned our North American payroll and benefits plans and completed the rollout of the rebranding of SunGard. Given our current pace and results to date, we are ahead of schedule to exit 2016 at our synergy run rate goal of 100 million and are confident in our ability to exit 2017 with the synergy run rate of 200 million. FIS has a proven track record of meeting or exceeding our synergy targets and based on progress to date this record will continue. While that wraps up my comments regarding the strategy and integration of SunGard, the company had other notable successes in support of our growth. I’d like to spend a few minutes discussing some of these key results. Turn to slide 8 to review the segment highlights; our integrated financial solutions business continued to cross-sell and upsell additional products and services to our North American client base leveraging the strength of their portfolio. In particular, we saw a continued demand for our digital solutions, wealth and card production and institutions of all sizes. In addition, we expanded our relationship with a large online retailer in the fourth quarter resulting in double digit growth in our high margin network services business. Our multiple businesses continues its industry leading position, growing its number of registered users by 19% year-over-year and delivering 27% year-over-year growth in our postpaid service model. Overall in our digital finance we grew to greater than 250 million in revenues at margins greater than 40%. Card production increased 12% to a 112 million cards inclusive of (inaudible) and EMV. EMV grew sequentially 15% from Q3 to Q4 in 2015, resulting in a full year production of 12.5 million EMV cards. We continue to build traction among mid-tier community institutions signing several new long term core processing partnerships in the quarter and full year. The success we saw in core processing signings for the year was almost double the number of deals in 2014. These wins in 2015 create positive benefits for 2016 and beyond. Also in the quarter we signed the bank with assets greater than 200 billion to consolidate its debit processing and associated product related services. The decision was driven by the banks’ desire to improve operating efficiencies and increase service flexibility with a common solution across its expansive retail and direct bank business. This significant multi-year agreement demonstrates FIS strength is serving the payment needs of institutions of all sizes around the world. 2015 was a transition year for Global financial solutions business. We responded to the challenges presented to us in the year whether they were due to global economic issues, overall softness in market demand for people based services or execution. We made leadership changes to address execution issues and refocused the impacted businesses. Regarding our consulting business, Capco, we are seeing progress and building our pipeline for consultative deals but continue to expect a slow recovery in the first half of 2016, with increased performance in the back half of the year. As we discussed in the strategic rationale for SunGard, our non-product led businesses now make up less than 10% of our total revenue. Globally, our Clear2Pay business showed very strong momentum growing over 20% for the full year, fueled by solid demand for real time payments and a clear competitive differentiation in this space. We acquired Clear2Pay in 2014 with the strategic view of the market’s direction and it is another illustration of how disciplined acquisitions and careful integration can enhance our client value proposition and earnings growth profile. During the quarter our GFS segment signed a bank in North America with assets greater than a 100 billion to a new multi-year agreement for a new (inaudible) providing an end-to-end integrated solution for core banking, fraud solutions, back office and call center services. This key win underscores our ability to deliver innovative technology solutions that empower our clients to better serve the customers in today’s digital age. In Brazil, we were encouraged to see one of our key clients pursue the purchase of a large card portfolio expanding their franchise for future growth, even in the difficult macroeconomic environment. This acquisition expands our ongoing business in Brazil and we are already seeing the benefit in our revenue stream as we provide professional services expertise to onboard these accounts in the back half of the year. In Europe, we continue to show positive sales momentum especially in the UK and Germany where we saw important wins across the year that will fuel continued growth in 2016. Our strategy within the region is building momentum around our expanding relationships by leveraging existing strings within the FIS and SunGard portfolios. We are making strong progress in the Sainsbury engagement. We recently delivered the new bank platform which is a key milestone in the project. Testing is underway and we now plan to start to migrate customers under the new platform later this year. We are proud of our partnership with this client and we look forward to empowering them as our strategic partner and we look forward to empowering them as our strategic technology partner over the next decade. We also signed the first all-digital bank in the UK as we helped this client prepare for their upcoming launch in 2016. Asia continued to have strong growth throughout 2015, and we are pleased that SunGard acquisition more than doubles our sales force in the region, which allows us to continue to address to demand for FIS products and services throughout the high growth region. Turning next to slide 9, before I turn the call over to Woody for the financial review, I’d like to summarize by emphasizing that our competitive positioning is strong and our long term earnings growth story remains intact. To meet our 2016 growth and financial performance goals, we will continue to focus on driving profitable growth, maintaining a strong balance sheet, returning cash to shareholders and continued acceleration of our integration efforts. With that I’d like to turn it over to Woody for additional details on how’s the financial results for the quarter and full year. Woody?
Woody Woodall: Thanks Gary. I’ll begin with slide 11 with a summary of our consolidated results for the quarter and then for the full year of 2015. The fourth quarter and full year results included the impact of the SunGard transaction, which closed on November 30. Those results are reported in the GFS segment. Today unless otherwise specified, I’ll be referencing percentage changes in our metrics on a constant currency basis. Also reconciliations of non-GAAP measures can be found in our press release and our earnings deck which is posted on the investor relations page of website. In the fourth quarter, revenue increased to 1.9 billion or 18% and adjusted EBITDA increased 21% to 624 million. Adjusted net earnings from continuing operations increased 13% to 278 million and adjusted earnings per share was $0.93. In the quarter, foreign currency translation negatively impacted revenue by 63 million, EBITDA by 12 million and earnings per share by $0.02. For the year, revenue increased 7% to 6.6 million and adjusted EBITDA increased 8% to 2 billion. Adjusted net earnings from continuing operations increased to 930 million, a 6% increase and adjusted earnings per share was $3.22. For the year, foreign currency translation negatively impacted revenue by 243 million, EBITDA by 45 million and earnings per share by $0.07. I will now continue on slide 12 for segment results. In the fourth quarter, Integrated Financial Solutions grew 4.4% on a normalized basis to 1 billion. EBITDA increased 3% to 405 million compared to the prior year period. We are pleased with the results of this segment and the underlying business continues to perform well. For the year, IFS revenue on a normalized basis increased 3% to 3.9 billion and EBITDA increased 2% to 1.6 billion. Turning to slide 13, our IFS growth was driven by our digital and RISC solutions and by an increase in EMV card production volumes. Recurring revenue composition remains very high in IFS. Turning to slide 14, in the fourth quarter Global Financial Solutions revenue increased 38% to 902 million. SunGard contributed approximately 300 million of revenue and approximately 100 million of EBITDA. Excluding SunGard on a normalized basis, GFS revenue decreased 30%. This decrease was driven primarily by softness in professional services demand and a difficult comp to the prior year period. GFS adjusted EBITDA increased to 259 million, representing a 58% increase. EBITDA growth in the quarter was driven restructuring comp sanctions taken in the first half of the year and the inclusion of SunGard for one month. For the year, GFS revenue increased 16% to 2.7 billion, excluding SunGard on a normalized basis, revenue grew 3%. EBITDA increased 25% to 629 million. Moving to slide 15, we are presenting the results in the region including SunGard to give some credit in to their regional impacts. Although we noted that SunGard’s impact is only for one month. Given that, my following commentary on the regions excludes SunGard and focuses on the GFS segment standalone performance. For the first fourth quarter, North America declined approximately 50 million to 252 million, almost half of this decline is a result of the previously discussed contract non-renewal followed by continued softness in professional service dominion and a difficult license [sale] comparable in the prior year period. For the year, North America revenues was 1.1 billion, as of the non-renewal of the contract, full year revenue decreased 1% reflecting professional services softness in the second half of the year. In the quarter, Europe grew 1% to a 198 million, for the year Europe’s revenues increased 14% to 757 million. The fourth quarters’ results included the anniversary of our Clear2Pay acquisition and the impact of softness for people based services in Europe. We are pleased by the results in Latin America and the contract expansion in Brazil with a nice win in the quarter and should help Latin America in 2016 in spite of difficult macroeconomic backdrop. As Gary indicated earlier, we remain bullish on the long term impact of the Asia Pacific region. The teams have done a nice job of growing the business in this region. The addition of SunGard creates contribution from IT led solutions which we believe improves the visibility and predictability of results for this segment. Moving to slide 16, for the quarter free cash flow increased 12% to 399 million or a 143% conversion of net earnings, and for the year, free cash flow increased 7% to 921 million or 99% conversion of net earnings. We are highly focused on paying down debt and deleveraging the balance sheet. The effective tax rate increased to 33.4% for the quarter compared to 32.6% in the prior year period, driven by acquisition related items. For the full year, the effective tax rate was 33.1%. Moving to slide 17; in 2016 and going forward, we will quote revenue growth on an organic basis. Organic revenue will exclude the impact of acquisitions, divestitures and foreign currency translations. We believe this will be a better visibility in the underlying operating results of the business. For 2016, we expect organic revenue growth of 3% to 4%, adjusted EBITDA of 2.84 billion to 2.9 billion, adjusted earnings per share of $3.70 to $3.80, representing growth of 15% to 18%, free cash flow to approximate adjusted net earnings. As we think about the quarter-to-quarter flow of the operating plan, we generally expect 15% to 18% EPS growth each quarter and expect the impact of synergies and interest savings to increase over the course of the year. There is more information regarding our planning assumptions in the appendix material, and I will highlight a handful of them here. We assume net interest expense of approximately 370 million, a 2016 effective tax of approximately 35%. We believe that by implementing tax planning strategies over the next 24 months, we can drive the effective tax rate down by 200 basis points or more. Capital expenditure is approximately of revenue, reaffirming our goal of exiting 2016 with 100 million or more in run rate cost synergies. Moving to slide 18, in conclusion I’m highly confident that our operating plan and our ability to deliver double digit earnings growth in 2016 and 2017. We remain focused on multi-year earnings growth and cash generation and believe our business model will create long term shareholder value and we continue to invest for growth and strive for leadership in the markets that we serve. That concludes our prepared remarks, operator you may now open the line for questions.
Operator: [Operator Instructions] our first question today comes from the line of David Togut with Evercore ISI. Please go ahead.
David Togut: Glad to hear that the SunGard integration is running ahead of plan. Can you provide details around your cost stakeout assumptions for SunGard for calendar ’16, in other words, what’s embedded in the guidance for the full year and then to the extent you have a target for calendar ’17 that would also be helpful?
Woody Woodall: David, again we’re exiting at 100 million or more, I want to tell you for planning purposes, I’ll use the 100 million exit run rate. If you think about the flow of the operating plan, we’re trying to get some color around 15% to 18% each quarter. If you think about how the synergies will flow, I would lean towards the 15%; moving towards the 18% over the course of the year as the synergies come through and interest cost are reduced as we pay down debt. For 2017 David, we are still targeting a 200 million exit run rate and we will have that at least ratable at this point of time.
Gary Norcross: Yeah David, this is Gary, obviously at this point we are highly confident in achieving that. And as I said in my prepared remarks, when you compare it to the really last big transaction we did which was Metavante back in 2009, we are ahead of where we were at this point in that process. So we’re going through a number of already very significant milestones with the restructuring, the conversion of payroll and benefits and the other things we mentioned, and now we’ve just got the line of sight in implementing the plans over the course of the year. So we’re in really good shape on the integration and it’s gone very smoothly at this point.
David Togut: Any color on the demand environment for SunGard, they have a very strong capital market focus and clearly seeing a lot of volatility now in capital markets. Is demand holding up in this environment?
Gary Norcross: You know that was my point I was trying to make in my prepared remarks. I was real pleased with the month of December and our SunGard execution. When I look, forget every opportunity to really take the foot off the gas. I mean they could have gotten distracted with the combination; we had a lot going on at that time. The teams stayed very focused through year-end and executed very well. So that was positive. When I look at the pipeline, going in to this year, the same thing exists. The pipelines are growing, the teams are executing, they’re very excited about being a part of FIS and I think that’s translating in the client base. I can’t tell you how many comments I’ve gotten over the last 60 days from clients just talking about being up under FIS, our ability to invest and focus for the long term. And so the customers are receiving it well, our sales teams are receiving it well, and that’s projecting in to the results. So we feel really good about it. The secret’s going to be, as now since November 30 as we’ve started to put or sales teams together and they’ve started to have some conversations about joint selling in to the account. We’re also seeing some good tractions, not only in the global financial institutions, but as i said when you look at treasury and wealth and many other products that SunGard have that are applicable for regional and community banks, we are starting to see strong traction there as well. I mean, of course as you know, our consulting groups started in the capital markets area of the industry and so being able to ramp that kind of consultative engagement around product is going to be differentiating for us going forward.
David Togut: And then if you could give a little more color on Capco. You had mentioned towards the end of last year, Lance Levy taking over the business, repositioning it to focus more on high-end transformational consulting. What’s the current growth for Capco and then why do you think it could be exiting ’16?
Gary Norcross: We sold mid-single digits growth on Capco for the full year last year, which was obviously substantially less than what has been done in the prior years. As you mentioned, Lance has taken over the helm of the consulting group. We really rallied the partners around, engaging more in to the transformational consulting side which drives a higher margin, and also is more complimentary to help differentiate some of our product IP. The back half of the year was slow as we retooled it. We’ve actually seen growing in to the first half of this year a nice ramp in the pipeline and we’re starting to see some results of that early on. I do think with the first half of 2016 is going to be slower from a growth standpoint, but then when we get in the back half of the year as that continues to ramp, we’ll see capital to start returning back to a more normalized double-digit growth rate for us.
Woody Woodall: To be clear Dave the organic 3% to 4% for the consolidated company, we’ve got Capco for the full year in a mid-single digit zone.
David Togut: Just two quick final housekeeping questions, what FX impact you have built in to the 2016 guidance and then what is your forecast for termination fees?
Woody Woodall: Yeah, if you look at the assumption package there are some details on slide 20 that’s further in there. Right in here we baked in about 150 million headwinds that are really driven primarily as a Brazilian real but still having some headwind in the Euro right now. With regard to term fees, we exited 2015 with about 40 million. We’ve got less than that in 2016 that would bear you probably 20% less.
Operator: And we do have a question from the line of Brett Huff with Stephens, Inc. Please go ahead.
Brett Huff: Just a little bit more detail on the guidance, I think that we’ve been trying to figure out and I think others have been trying to make sure we understand and then guide. Can you give us a little more detail or ballpark on what your SunGard assumption is for revenue and maybe even profitability and I know going forward there’s probably not going to be as much detail. But I think we and others are just trying to make sure we’re modeling this right here on this first year out. So any help on that would be helpful.
Woody Woodall: If you think about the revenue growth profile Brett I would tell you probably in the 3 to 5 zone on the SunGard from the revenue growth standpoint. In terms of margin contribution, our GFS margins without them are about 22% or so, with the synergies we think the GFS margin growth of 26% plus in 2016. That will continue to grow with the 2017 as we get full run rate synergies out of it, but that’s what we are looking at in’16 in terms of profitability contribution.
Brett Huff: So the 22% for the fourth quarter was GFS ex SunGard, but the 26% plus is with SunGard in the synergies.
Woody Woodall: Let clear, GFS around 22% would be a sort of a full year GFS without SunGard. Adding SunGard and the synergies in to 2016 we think the GFS segment growth profile or EBITDA margin profile would be 26% for us.
Brett Huff: So both of those numbers are for ’16. And then you mentioned specifically Gary and I just want to make sure I heard you right that slower growth in the Capco portion of consulting and I’m assuming that’s probably the low single digit that we’ve been seeing the last couple of quarters. And then you said, may be double digit growth in the back half. Can you give us a sense of the drivers, first of all is that correct? And second of all, give us a sense of the drivers? There were some questions of whether or not there was a systemic sort of industry wide big bank slowdown and uptick of professionals’ services or whether there were some specific things that were just your business. Can you give us some color on that?
Gary Norcross: Yeah, just to be real clear, you hit the nail in the head in the first half of the year, you’re going to see flat growth in Capco, may be even a little declining over prior year periods. And then you will see it ramping up to Woody’s point for the full year getting to up mid-single digit, and then going in to 2017, we do expect Capco to recover to more of that double digit growth rate. But as you know in the consulting business, that’s all about building your pipeline and filling it. And that’s in fulfilling it. That’s one of the things that we changed significantly. What we have done in Capco historically is we’ve gotten to a very large transformational engagement and we took our eye of the ball or off the base business of consulting in my opinion. And so we’ve retooled the leadership there, got them refocused on executing more of the thought leadership consulting engagements. We’ve seen nice uptick of pipeline. We’ve actually seen strength coming in to Q1 with deliveries. So we got to continue to that obviously and continue that growth. But it’s going to be much more back to what we picked in the original Capco acquisition which is more transformational consulting, where we are doing engagements more short term in nature around thought leadership and how to transform various functions of financial institutions and then allow us to pull in more product IP instead of some of the large lower margin body shop type deployments that we’ve gotten in to. Lance has excellent experience on that, from his prior life with his former company. He’s bringing a great discipline to that process and we’re seeing a lot of improvement early on under his leadership.
Operator: And we do have a question from the line of David Koning from Baird. Please go ahead.
David Koning: First of all on the IFS segment, it looks like that might have accelerated to around 5% growth if we exclude the gaming business from the prior year, and the strongest growth of the year looks like. I’m wondering first of all if that’s right, and secondly if there were term fees in the quarter and how much those were and then finally if that higher level of growth is sustainable through 2016?
Woody Woodall: It’s a good comment. I think if you normalize of it the gaming and other pieces, we got about 4.4% growth in the quarter which we did see as an acceleration. I think the level of no ease in ’15 was high compared to ’16. `16 should be clean and which is a very good line of sight around it. We did have about 8 million of term fees in the quarter that flowed in to the IFS Group. So and you saw the exact way around. We did see some level of acceleration and it’s a relatively clean number.
Gary Norcross: But you are thinking about it right David. I mean the team’s done an excellent job of cross settling and filing in frankly as we’ve described in the past from these whole set of created firm, from these clients that are leaving due to being acquired, right. So we saw a nice acceleration in growth and we’re confident about where that’s going to come in 2016.
David Koning: Okay, and then just turning t GFS, you made a lot of comments around some guarding capital. But you declined about 3% normalized in Q4. Are we going to turn to growth again in Q1 and maybe if we look through the year is that low single digit growth in the first couple of quarters and mid or maybe even a little better in back half. I just want to know if it going to grow throughout the year or if Q1 is still a down quarter.
Woody Woodall: Yeah, Q1 will not be a down quarter, we will see growth. What you’ve got is a compliment of SunGard continuing to grow the base product or solution set business continuing to grow with Capco having some headwinds still in the first quarter. But yes we’ll see growth and anticipate growth in these quarters.
Gary Norcross: SunGard brings an increase in our product lab or product focused IP sales in that group as well, and so those are more sticky in nature and they’re also more reoccurring in nature and so we think that’s going to help with the growth throughout ’16.
David Koning: And finally just a real quick one on the definition; with organic growth through the year, are you going to include SunGard in the prior year quarter or are you just going to exclude SunGard from the current quarter as we look through the rest of the year?
Woody Woodall: We would include it in the prior quarters, similar to how we have done organic growth in the past. We exclude acquisitions, divestitures and FX very similar to how we did in 2014 and prior.
Operator: And we do have a question from the line of Tien-Tsin Huang with JP Morgan. Please go ahead.
Tien-Tsin Huang: Just want to follow-up on Dave’s question on GFS, its first half and second half there’s a lot of moving pieces across the Capco piece. What are the other big puts and takes that we need to consider? It sounds like the Bradesco conversion is a big one, anything else?
Woody Woodall: Yeah I think the win for Bradesco was definitely a nice win for us. We’ll do some services around that conversion in the first half with the actual conversion taking place mid-year on that portfolio. Excited there; we do anticipate good growth in Asia Pacific again. Clear2Pay is going to grow well and then we’ve got some softness in Capco in the first half. SunGard’s growing relatively ratably over the course of the year.
Gary Norcross: Also Tien-Tsin keep in mind as we talked about in the prior March, you got Sainsbury coming on, Woody mentioned Bradesco, you’ve got the Digital Bank that is being launched in both the US and also in the UK that’s two separate contract but both of them will be driving revenue as well throughout the year.
Tien-Tsin Huang: So summer is a pretty important conversion period then?
Woody Woodall: That’s right, but we don’t have the same curve that we had. It’s much more ratable over the course of the year.
Tien-Tsin Huang: Right, because you’ve got some informational work here. And then just my follow-up, just the SunGard retention, I know that had gotten better towards the better part of ’15. Have you seen any chance, sounds like it’s doing well, but how the conversation has been going around retention? What are you assuming for 2016?
Gary Norcross: We’re continuing to see an improvement in retention throughout 2016. As you pointed out, they’ve had a very nice slope of improving that over the last several years and we think that will continue. Frankly the conversations with the clients have been extremely positive and I’ve had an opportunity to have a lot of those over the last several months. And what we’re finding is they are very pleased that FIS was the acquiring company, they are very pleased with how our overall size of relationship has grown through the combination because we would have already a strategic relationship with those clients. So it makes us that much more scaled and so it’s all positive. But we are planning for a continued improvement and retention and we think the evidence of that won’t occur.
Operator: And we do have a question from the line of Darrin Peller with Barclays. Please go ahead.
Darrin Peller: Just want to touch on starting off with guidance once again just as a follow-up. You came off a year where obviously there are some unforeseen things that had occurred and so I know that the intention hopefully was to come in to this year with more of a conservative guidance assumption, and so here with 3% to 4%. Our first quarter run rate was decent on the IFS segment and obviously like you mentioned for a lot of different reasons slower on the GFS. So when you look going forward, can you just give us some confidence if there is anything that would lead to that guidance being either below that or what are those variables and potentially is that already conservative. Is this sort of the low end of the range? Inherently what you’re giving with upside to that from other variable, I guess there’s some contact around the conservatism and the nature of how you really thought about guidance here this time.
Woody Woodall: As you might imagine coming out of ’15 and looking at the macro backdrop, we definitely took a more conservative approach particularly on the revenue growth lines, and specifically on the revenue growth lines that are more discretionary in nature. Across the board, we think we’ve got lower sales execution risk in the various [play-ins] and then we’ve got a larger component of the earnings per share that will rack on more controllable things, synergies for example, things that we can go and execute on regardless of macro backdrops. So, yes, we think we got a conservative plan here both in top line and in earnings per share growth in 2016.
Darrin Peller: And then on the cross-selling side, I am curious to know, is there anything included in your outlook around SunGard and are you seeing any evidence so far of cross-selling in terms of revenue synergy opportunities, whether it’s the wealth business you’ve talked about in the past or its Capco or others.
Gary Norcross: Yeah Darrin, we were very conservative when we looked at cross-selling. But we are as I’ve shared in my prepared remarks; we are very excited about what we’re seeing in the conversations that are occurring. There are a lot of opportunities as we are looking at the wealth, we’ve taken wealth and combined with our existing wealth business and gives us a substantial scale in that space and allows us to push in to the regional community banks and seeing good progress there. We’re seeing great uptick in some of our regions around world, Europe, Asia, specifically where we are able to bring out of sales resources and SunGard sales resources augmenting with Capco and seeing some nice early engagements. So we do think there’s going to be some upside, but to Woody’s point we were conservative in our modeling of that.
Darrin Peller: And just last question from me, when we looked at - when we heard your prepared remarks you did list off a number of if what sounded like pretty decent size deals. I know Bradesco is one, but also I think you’re investing $100 billion in a bank for direct banking and some others. It seems like there was a lot that was announced and still sort of slowly but surely rolling on through this year, whether its Sainsbury, you mentioned testing or Credit Agricole or others that are still to come. Can you give us a little more color on the timing of some of the larger implementations? Sainsbury sounds like it’s in testing mode now and it’s going to ramp through the year I imaging. Anything else we can just sort of hold on to in terms of similar larger deals?
Gary Norcross: I think you’re right; we’ve got a lot of large transactions that we signed. The sales team executed well throughout last year. Frankly to your point, it does on board over time because these are big projects and it takes time to get them onboard. But when you think about Sainsbury, it becomes a mid-summer deployment for what we’re calling phase two of that project. The final phase will launch in early ’17, so very good progress there. We have high confidence in that and the relationship can’t be better and the teams are working very well. We also mentioned a UK Digital Bank that will launch in Q2 as well, and then the Digital Bank that you mentioned [credit] of 100 billion, that will drop a lot of services, but that will be onboarding throughout ’16 and in to ’17, so that’s a little later, because we didn’t sign that till Q4 and those tend to run about anywhere from 12 to 18 months of deployment time. The Bradesco talk about the large card portfolio that will also come on in mid-summer.
Darrin Peller: And would you say those four are the top four that are sort of yet to be implemented that you have in the pipeline or now that’s [reassigned]?
Gary Norcross: Those are some of the key ones that we’ve highlighted. Of course obviously in the company [outside] we’ve always got a lot more large implementations going on. And so the team that was a nice job of deploying those and typically they come on without any excitement which is always the thing we’re looking for. So we’ve got to continue to not only execute on our delivery pipeline but also our sales pipeline, we got to keep filing those delivery buckets, and the team’s done a nice job doing it.
Operator: And we do have a question from the line of Ashwin Shirvaikar from Citi. Please go ahead.
Ashwin Shirvaikar: Just want to start IFS, when I look at sort of low level of term fees in 2015 and you signed several new core processing clients, shouldn’t that result in a higher normalized top line growth? And when I look at the overall IFS [team mates], maybe that’s the offset. But how much of an offset is that going to be? Any kind of prognosis on IFS by the various pieces?
Woody Woodall: And when you look at it, I think Ashwin a couple of things, one, conservative about our revenue growth guidance for 2016 first of all. Secondly as we talked we do have a broad set of payment solutions business, some of them are growing faster, some of them are growing slower, which is a headwind to overall growth in to the IFS Group. What we did see was good growth in the banking group and good growth in the business solutions group and EMV card production. So we’ve got some growth but we definitely still have some level of headwinds. Again the macro backdrop here is conservative overall guidance as well.
Ashwin Shirvaikar: Can you comment on the nature of some of those headwinds, the timing aspect of it?
Woody Woodall: Well if you think about our check business for example, check volumes continue to decline, that environment continues to be a headwind overall for us. We seek some price compression in payments group that we’ve talked about before. So that’s a bit of a headwind in terms of overall growth. Some of these wins are obviously coming on and they’re implementing growth or improving growth as we forward. But you’ve got a combination of headwinds and tailwinds in that business that we think is still driving that 3% to 4% range in to 2016.
Gary Norcross: If you think about it, and we keep mentioning it on the calls, but it’s been a significant growth with all these acquisitions, and so that’s just a natural headwind that propels in to 2016. While the term fees are coming down and I always point to, that’s a great indicator of the launch for. They are continuing, they are still not down to zero, right, so we still got to deal with acquisitions. To Woody’s point, it’s a very competitive market, we continue to see the price compression as an issue, but the team continues to sell through that, where they had a great year last year in sales and I would tell you in 2016 we see no indication that’s not going to continue.
Ashwin Shirvaikar: Got it. Now none of those factors sound like the check processing payment price compression I think is new there, that’s good. As you look at the overall portfolio of business that you now run are there pieces either within SunGard or within FIS old curve that does not make sense that does not belong?
Gary Norcross: There’s always going to be. We’re always sort of going to evaluate what are the right assets for us going forward and also what meets and fits with our strategy. As you’ve seen historically at FIS we’ve divested up assets that don’t our strategy but are very good company. So I’ll point to healthcare, I’ll point to the gaming business. And we’ll continue to look and evaluate that. If we have assets that don’t fit our overall strategy, but would be better served under a different ownership structure, we would certainly pursue that.
Ashwin Shirvaikar: Last question, investors obviously care a lot about leveraging, I am hoping you can comment cash used, might you lean a little bit more debt towards debt pay-down as oppose to buyback, any thoughts there?
Woody Woodall: We would lean very heavily to debt, [quit] repayment there. In fact we don’t anticipate any share buybacks in 2016. We will close the year round at about four times leverage. We’re targeting to get [bad debts] of 2.5 times by the end of 2017. But all of our excess free cash flow will generally be used towards debt pay downs Ashwin over the course of ’16 and through ’17 until we de-lever back to the targeted level.
Operator: And we do have a question from the line of Bryan Keane with Deutsche Bank.
Bryan Keane: (inaudible) on a constant currency basis in 2016?
Woody Woodall: 2015 during the third quarter which they reported was about a 5% growth rate. We only picked up the month of December which was a $300 million contribution; their full year growth rate was just under that number.
Bryan Keane: Okay, so more kind of in line than the 3 to 5 you guys were thinking about for SunGard going forward?
Woody Woodall: That’s correct, probably more in the 3 to 4.5, 3 to 5 zone.
Bryan Keane: And then just a clarification on GFS, just trying to think about the pieces on the minus 3% constant currency organic growth in the fourth quarter. Telling through is tough comps and then you mentioned also of course professional services. Any details you can give us on those numbers on how to think about the drop there of minus 3%. May be what Capco grew in the fourth quarter exactly on a constant currency basis.
Woody Woodall: Capco on a constant currency basis was down approximately 10%. That equated to a full year growth of 5%. We were anticipating Capco having slow growth in Q1 and returning to some growth in Q2, Q3, Q4, but in mid-single digit for most of 2016. So that’s how we kind of slow that piece of the business line.
Bryan Keane: Anything else to quantify inside of GFS that was negative or caused the drop of 3%?
Woody Woodall: Those were the big items, the other one, the license comp that we had in 2014 once there was about $7 million or $8 million license in 2014 that drove a difficult sales comp in to ’15.
Bryan Keane: That’s really helpful. I think going forward in GFS ex SunGard is that still supposed to be in that positive 3% to 4%, and then just what drives that just in the first, second quarter in the first half, I assume its supposedly or supposed to be lower. Is there anything that helps the growth either way to come off that minus 3% ex SunGard?
Woody Woodall: I think the Latin America win definitely helps support some of that growth. Ex SunGard that would offset some of the PS business that we talked about. Clear2Pay is still growing very well for us in Europe and in Asia Pacific it’s been growing pretty well. So the combination lands on we believe the three to four kind of zone without SunGard in the front half of the year as well.
Operator: And we do have a question from the line of George Mihalos with Cowen. Please go ahead.
George Mihalos: Just wanted to ask you is there cadence we should be aware of in the IFS segment as we model through 2016 or should the growth there be fairly uniform quarter-to-quarter unlike the GFS segment?
Woody Woodall: We think it’d be fairly uniform. That business is highly recurring, very predictable and has performed well in our anticipation. That coupled with very little expectations around term fees, we think it’s going to be a pretty ratable growth.
Gary Norcross: I think George when you think about it, it will return to a more normalized quarter-on-quarter that we’ve seen historically in that business, given its 90% reoccurring revenues. So that’s what we love about that business is very predictable.
George Mihalos: Just to follow-up on Bryan’s question, it sounds like for the first quarter at least of ’16, Capco again will be under some pressure. It sounds like may be on a constant currency basis that should be negative, and then start to turn positive in 2Q and then accelerate over the back half of the year. Is that the right way to be thinking about it?
Woody Woodall: That’s a fair way to think about it.
Gary Norcross: As we said the back half of last year we started filling the pipeline, we started getting out and selling the type of consulting we were looking for. We’ve had some engagements we are starting to fill that. So all the indicators are nice progress, but this will take some time to get it back to a more normalized basis.
George Mihalos: And just last question from me just as we think about the tax rate, the 35% for 2016. Woody how comfortable are you that that coming down in ’17 may be they are something closer 33 or a range like that?
Woody Woodall: I feel really comfortable. If you look at what SunGard was doing, they’ve repatriated most of their cash back to pay down debt. It produced a standalone rate that was pretty high about 38% standalone when you take out discrete items in their history. So we will feel very confident in our ability to drive that rate down over the course of ’17 and forward as we implement tax planning strategy similar to what we’ve done at FIS, utilizing the foreign rate differential in some of the structure that we have.
Operator: And our last question of the day comes from the line of Glenn Greene with Oppenheimer. Please go ahead.
Glenn Greene: The first one, you were asked the question on bank spending, discretionary spending related to SunGard, and it sounds like obviously with the fourth quarter you had a deal wins that went off. So just broadly the bank spending, discretionary spending environment for the core business ex SunGard both across those GFS and IFS?
Gary Norcross: What we can say is what we’re seeing in our product focused sales teams, we are continuing to see good pipeline, good closure. Keep in mind, even on SunGard, most of their license fees are term based, so you have to renew them in order to continue to process. There’s also a large maintenance string and processing strings associated with that. So you’re really talking about mission critical applications. And as I said, we saw great response out of SunGard team in December. We see good pipeline in to the Q1 and good line of sight to our Q1. We are also seeing across traditional FIS business and our IP sales we’ve highlighted number of key wins last year. So we think that gives us confidence going in to ’16.
Glenn Greene: So basically broadly you haven’t really seen any sort fall off in activity levels, given the uncertain environment we’re all seeing and volatility?
Gary Norcross: Other than our people based services business, we haven’t. We’ve seen some softness there, we’ve highlighted that starting mid-way through last year, but really in our product led sales, we continue to see good strong momentum.
Glenn Greene: And just to be clear, there’s a lot of commentary around guidance for the segments. Just to be clear as it relates to the 3 to 4 organic growth, it sounds like you are thinking 3 to 4 for both IFS and GFS, and I think I heard the 26% margin comment for GFS including SunGard, just to be clear on the margin and growth expectations by segment.
Woody Woodall: We typically haven’t given segment guidance, but I’m going to give you some color around it. We do think IFS in that 3% to 4% zone, the top one. We would anticipate IFS margin’s in a 10 to 20 basis points expansion range. We would look for GFS revenue in the 3% to 4% zone as well, and that GFS margin profile to increase from 22% or so to 26% plus.
Glenn Greene: Just one last question, very high level commentary on the GFS from a geographic perspective, sounds like Latin American is probably going to improve with the Bradesco [language] sort of a much higher broadly kind of full year basis by the year before (inaudible) geographic.
Gary Norcross: When you look at that blend, Latin America is going to have a nice year given the wind that we had in Q4. Moving over in to Europe, we’re seeing strong product led sales, especially in the UK and Germany specifically, and we think that’s going to continue. We had some good sales success last year in that region, a lot of that’s going to be onboarding this year, but we also see good pipeline and good integration. Asia has been strong for us consistently, and frankly as I mentioned we now doubled the size of that sales force in Asia which is something that we needed for the increase in demand that we’re seeing. And so we were in the process of broadening our sales force there anyway. So that’s going to be a good outcome. We are bullish that that team’s going to continue to execute and Asia’s going to be continue to be a strong grower for us.
Operator: And for closing remarks, we’ll turn the conference back over to the CEO, Gary Norcross. Please go ahead.
Gary Norcross: Thank you for your questions today and for your continued interest in FIS. I’d like to summarize by saying strategy has consistently driven year-over-year performance results. Our deep focus in investment and financial services is allowing us to leave change in the industry. We are excited about our future. I’d like to thank our leaders and our more than 55,000 employees for their hard work and dedication in serving our clients. As important, I’d like to thank our loyal clients who depend on us and trust us to keep their businesses running every day. It is because of our clients and employees that FIS continues to empower the financial world. Thank you for joining us today.
Operator: And ladies and gentlemen, today’s conference will be available for a replay after 10:30 AM today through February 23. You may access the AT&T Teleconference replay system at any time by dialing 1800-475-6701 and entering the access code 383548. International participants may dial 320-365-3844. And those numbers again are 1800-475-6701 and 320-365-3844, again entering the access code 383548. That does conclude your conference for today. Thank for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.